Operator: Good day, and welcome to the Host Hotels and Resorts Incorporated Third Quarter 2012 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Gee Lingberg, Vice President. Please go ahead.
Gee Lingberg: Thanks, Cindy. Good morning, everyone. Welcome to the Host Hotels and Resorts Third Quarter Earnings Call. Before we begin, I'd like to remind everyone that many of the comments made today are considered to be forward-looking statements under Federal securities law. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO, adjusted EBITDA and comparable hotel results. You can find this information together with reconciliation to the most directly comparable GAAP information in today's earnings press release and our 8-K filed with the SEC and on our website at hosthotels.com. With me on today's call is Ed Walter, our President and Chief Executive Officer; Larry Harvey, our Chief Financial Officer; and Greg Larson, Executive Vice President, Corporate Strategy. This morning, Ed Walter will provide a brief overview of our third quarter results, and then will describe the current operating environment as well as the company's outlook for the remainder of 2012. Larry Harvey will then provide greater detail on our third quarter results, including regional and market performance. Following their remarks, we will be available to respond to your questions. And now, here's Ed.
W. Edward Walter: Thanks, Gee. Good morning, everyone. We are very pleased to report our best overall operating results of this recovery as exceptionally strong group demand fostered solid rate growth across all segments of our business. As we will discuss in more detail, this strong rate growth also allowed us to generate meaningful improvement in our operating margins. Our third quarter performance, combined with continued strength in group bookings gives us the confidence to raise our guidance for the year. We feel very positive about the fundamentals in the business and our outlook, which I will discuss in more detail. First, let's review our results for the quarter. Our comparable hotel RevPAR for the third quarter increased 7.6%, driven by an improvement in our average rate of 4.7%, combined with an occupancy increase of 2.1 percentage points. Our occupancy for the quarter was 78.4%, which gave us our second straight quarter where occupancy exceeded our prior peak level in 2007. Our average rate was $182 and RevPAR was $143. Comparable hotel food and beverage revenue grew 4.5%, driven more by growth in outlet sales as several of our recently renovated restaurants saw significant increases in activity. The strong rate performance combined with tight cost controls and low utility rates, lead to an impressive 285 basis point increase in our comparable hotel adjusted operating profit margins for the quarter and resulted in adjusted EBITDA of $241 million, which represents a 14% increase over the prior year. Adjusted FFO per diluted share was $0.21, an increase of 31%. On a year-to-date basis, comparable hotel RevPAR increased 6.7%, driven by a 3.9% increase in average rate and a 2 percentage-point improvement in occupancy. Total year-to-date comparable revenue growth of 6.3%, combined with an adjusted operating profit margin that increased 170 basis points, resulted in year-to-date adjusted EBITDA of $764 million. This represented an increase of more than 14% over the prior year. Adjusted FFO per diluted share increased 15% to $0.69. Overall, we are extremely pleased with our operating results this quarter. The key driver of our third quarter results was the robust 20% increase in corporate group demand, which led to a more than 6% increase in group room nights. Not surprisingly, our larger group hotels, especially those in Boston and several resort markets, outperformed the overall portfolio. Our luxury hotels also experienced strong group activity, especially on the rate front as rates were up more than 6% in the quarter. Benefiting from both mix shift and higher absolute rates in both the corporate and discount segments, our average group rates were up almost 3.5% and group revenues were up nearly 10%. As expected, the significant increase in group demand allowed our managers to focus on driving rate in our transient segments, which was the primary factor behind our transient revenue growth again this quarter. Overall rate growth was north of 5% and was spread fairly evenly across all major transient segments. We were pleased to see a 1.5% increase in retail room nights which further increased transient rates during -- through mix shift. Luxury transient demand also increased by more than 3%, further enhancing this trend. With a focus on rates in our transient business, our transient room nights increased a modest 0.5%. The slight increase in demand combined with the improvement in rate led to a nearly 6% increase in transient revenue. Looking at the fourth quarter and into next year, we continue to be encouraged by the positive trends in group business. While current booking activity or current quarter booking activity will likely slow somewhat because fewer room blocks are available, longer-term activity continues to be strong as overall bookings in the third quarter were up nearly 9% compared to the prior year. Even with the disruptive timing of several holidays and the election, group revenues on the books are up 7.5% for the fourth quarter. Our activity for 2013 continues to show sequential improvement, with revenues on the books now 8% ahead of the prior year. The great majority of this improvement is happening in our larger group hotels, which are benefiting as customers begin to plan more proactively. On the investment front, the company's European joint venture, in which we hold a 33% interest, acquired its first hotel in Germany, the 192-room Le Méridien Grand Hotel in Nuremberg, for a total purchase price of $37 million. The recently renovated historic hotel is situated in a prime city center location near multiple cultural sites and benefits from 3 primary demand drivers: Leisure, corporate and convention. The metropolitan region of Nuremberg is a major economic hub in Germany with a significant number of national and international companies located in the area. It also represents one of the most important trade fair destinations in Germany. Looking at this position, we are making good progress in our efforts to market several properties. We continue to expect that we will complete incremental sales in the $300 million to $400 million range. However, the sale market and timing of these transactions is difficult to predict. While we hope to complete these sales by the end of the year, it is likely that the closing of some of these transactions could spill over into early 2013. In addition to our acquisition and disposition transactions, we have been very active this year on several value enhancement projects. These projects represent innovative uses of existing hotel space or excess land to enhance revenue or generate new revenue. An example of this type of project includes the transaction we announced in August, where we leased retail and signage space at the New York Marriott Marquis to Vornado Realty Trust. Vornado plans to invest approximately $140 million to redevelop and substantially expand the existing retail space, including the conversion of some of the below-grade parking to superior high-end retail space, as well as adding a 6-story block front LED signage that will dramatically improve both the hotel and the retail space present from Times Square. The new lease will generate substantial economic benefits to Host, our rent has already increased by more than $6 million annually, and we would expect significant additional rent increases as the project is completed and leased. Another important value enhancement project I'd like to talk about is the time share development on excess land at our Hyatt Regency in Maui. We are in the advanced stages of negotiating a joint venture with Hyatt Residential Group to develop, sell and operate a 131-unit vacation ownership project on what is currently an ocean-front parking lot. This project features a 6,500 square foot open-air lobby with direct ocean sightline, a pool with a capacity for 400 deckchairs, a 3,000 square foot fitness center, an owners' lounge, provisions market and casual dining and poolside bar. The timeshare will have access to amenities at our existing resorts for which the residents will pay an amenity fee covered by the timeshare association dues. In addition to the profit we expect to generate from the sale of the timeshare units, we also expect to benefit from synergies created with the existing hotel. These should include savings related to shared expenses, room sales in connection with marketing efforts or transition nights, as well as ancillary business capture in the spa, food and beverage outlets and retail shops. Host's contribution to the venture will include a combination of its land as well as cash for its majority interest. Finally, we are also expecting to create value from some underutilized tennis courts at the Newport Beach Marriott Hotel and Spa. We are under contract with a luxury homebuilder to sell 4.2 acres of excess land adjacent to the hotel, which has been approved for the development and sale of 79 luxury condominiums. The successful execution of these innovative uses of existing space or unused land is expected to create future value to Host of approximately $400 million to $500 million. With respect to capital reinvestment, it is worth noting that the grand opening of the new Westin New York Grand Central will occur later this week on October 12. This $80 million conversion of the hotel formerly known as the New York Helmsley Hotel, included the renovation of all of the guest rooms, lobby, public areas, heating and air-conditioning systems, the ballroom and meeting space, fitness center, as well as the creation of a new restaurant and bar. This will be the only the second Westin in Manhattan, and we believe the hotel will benefit greatly from being part of the Starwood system. Now, let me spend some time on our outlook for the remainder of the year. Recent industry RevPAR results for September have been weaker and have raised concerns over the strength of the fourth quarter. As you are probably aware, the recent weakness in September was anticipated due to the timing of the Rosh Hashanah and Yom Kippur holidays, and is not an indication of slowing trends. In addition, the midweek timing of Halloween and Election Day, as well as the early Hanukkah season, will likely have a negative impact on fourth quarter results, in part by condensing the number of weeks available for larger group meetings. However, these holidays have been anticipated and have been taken into consideration in our forecast for the full year. And even with the negative impact of the holidays this year, we expect our comparable hotel RevPAR to be stronger in the second half of 2012 than the first half of 2012, as lodging demand remains strong and pricing power improves. As we have outlined today, we continue to see strong demand trends, especially in our group business. And with load supply in our markets, industry fundamentals are expected to remain solid for the fourth quarter and into next year. With that in mind, and with our strong third quarter results, we now expect the comparable hotel RevPAR for the full year will increase between 6.25% and 7%. Our year-to-date margin performance, combined with the expectation that we can continue to drive strong flow-through for the remainder of the year, gives us the confidence to raise our margin guidance to an increase of 135 to 150 basis points for the year. Based on these RevPAR margin expectations, the mid-point of our guidance is increasing by more than $12 million, and we now expect adjusted EBITDA to be in the range of $1.155 billion to $1.175 billion. This operating forecast will result in adjusted FFO per share of $1.06 to $1.09. Looking at our dividend, we increased our third quarter common dividend to $0.08 per share. Our fourth quarter dividend will depend upon our final operating results and the gains we may generate on asset sales. While it's premature to offer any specific guidance relative to RevPAR or revenue growth for 2013, we do believe that the fundamentals for our business continue to be attractive. We expect to enter next year with an occupancy level higher than we had in 2007, the strong booking pace I referenced and supply near record low of 0.5% in our markets. We are very confident that our managers will have success in negotiating higher Special Corporate rates this fall. Additionally, international travel continues to grow at a high-single digit rate, adding demand in our priority gateway markets. All of these factors should result in solid RevPAR growth in the coming year. Thank you. And now, let me turn the call over to Larry Harvey, our Chief Financial Officer, who will discuss our operating and financial performance in more detail.
Larry K. Harvey: Thank you, Ed. Let me start by giving you some detail on our comparable hotel RevPAR results. Overall, we had an outstanding quarter in numerous markets. Our top-performing market was Philadelphia with a RevPAR increase of 20.8%. Occupancy improved over 11 percentage points, driven by both group and transient demand, while rate increased 3%. Both the Downtown Marriott and the Four Seasons had another exceptional quarter with excellent growth in rooms and F&B revenues. Results for the quarter benefited from the 2011 rooms and meeting space renovations at the Downtown Marriott. We expect our Philadelphia hotels to underperform our portfolio in the fourth quarter due to a decline in group and transient demand, as well as a renovation at the Philadelphia Airport Marriott. RevPAR for our Tampa hotels exceeded our expectations with RevPAR up 18.8%. Our Tampa Waterside Marriott hosted the Republican National Convention and the RevPAR growth was driven by improvements in ADR for both group and transient business for the quarter. Our Boston hotels had an outstanding quarter, with RevPAR growth of 15.4%. ADR increased over 12% and occupancy increased more than 2 points to over 88%. The outperformance was driven by strong group demand which allowed us to benefit from rate compression for both group and transient business. We expect our Boston hotels to have a good fourth quarter due to strength in group revenues and an expectation of continuing strong transient rates. Our San Francisco hotels continued to exceed our expectations, as RevPAR increased 12.7% due to an ADR improvement of over 9% and roughly a 3 percentage point increase in occupancy. The strong occupancy level of 88% allowed our operators to shift the mix of business to higher rated transient segments. We expect our San Francisco hotels to continue to perform very well in the fourth quarter as strong group and transient demand will allow us to continue to drive rate. Our Miami and Fort Lauderdale hotels had a great quarter as RevPAR improved 11.4%, well above our expectations. Average rate increased 9%, while occupancy was up nearly 2 percentage points. Both transient and group demand performed well. We expect our Miami and Fort Lauderdale hotels to have a good fourth quarter due to solid group bookings. Our Los Angeles hotels had RevPAR growth of 9.1%. Strong group demand created compression to drive both group and transient rate. ADR increased nearly 5%, while occupancy improved by more than 3 percentage points to nearly 88%. We expect our Los Angeles hotels to have a great fourth quarter due to robust group and transient demand. Our Hawaiian hotels continue to perform well with RevPAR up 7.7%, almost all of which was due to increased rate. Strong group and transient demand allowed the hotels to shift the mix of business to higher-rated categories. We expect our Hawaiian hotels to have a good fourth quarter. RevPAR for our New York hotels increased 4.6% due to occupancy growth of over 2 percentage points and a 2.1% increase in ADR. Results were affected by renovations at 3 hotels. Driving ADR growth in New York had been challenging this year, and we expect that trend to continue in the fourth quarter. As we expected, our Chicago hotels underperformed our portfolio due to lower levels of city-wide and group demand when compared to the third quarter of 2011. RevPAR increased 3.5%, driven by an increase in rate of nearly 3% and a slight improvement in occupancy. We expect our Chicago hotels to perform much better in the fourth quarter due to better group and transient demand. Our Washington, D.C. hotels experienced a RevPAR decline of 80 basis points. ADR increased roughly 1%, while occupancy fell over 1.5 percentage points. Both group and transient demand were weak as there was little activity on Capitol Hill and electioneer activities were outside of D.C. Results in the quarter were hurt by the rooms renovation at the Hyatt Regency on Capitol Hill. We have a series of meeting space and rooms renovations scheduled for the fourth quarter, and we expect D.C. to continue to underperform the portfolio. We expect 2013 to be a better year for D.C. Year-to-date, Philadelphia has been our best-performing market with a RevPAR increase of 24.5%, followed by Boston with a RevPAR increase of 11.6%, and Houston with a 10.5% increase. Our worst-performing market has been San Antonio, with a RevPAR decrease of 2.8%. Our European joint venture operating results continued to exceed our expectations. Excluding the Sheraton Roma, which is under a major renovation, RevPAR calculated in constant euros increased 4.1% for the quarter. EBITDA margins improved 120 basis points, and EBITDA was up over 9%. The JV has high quality assets and the average rate for the portfolio was EUR 200 for the quarter. As we previously discussed, inbound travel to the Eurozone from the U.S., U.K. and Asia and the Middle East continues to be strong and is a major source of euro-lodging demand. The Hotel Arts Barcelona, the Sheraton Warsaw and the Brussels Marriott all had strong RevPAR increases for the quarter, while the Westin Palace Milan struggled. Year-to-date, excluding the Sheraton Roma, pro forma RevPAR in constant euros is up 3.8% and EBITDA margins increased 150 basis points, while EBITDA was up over 10%. For the quarter, adjusted operating profit margins for our comparable hotels increased 285 basis points. Margins for the quarter benefited from better productivity as wages and benefits on a per occupied basis were up only 1.4%. Despite a big increase in revenue, costs that are variable with revenues, such as sales and marketing and cluster and shared service allocations, were well controlled. General and administrative, sales and marketing and repairs and maintenance increased only 3.2%. Utility costs were down 9.6% as natural gas rates declined nearly 17% and electricity rates fell roughly 7%. Even with the hot summer weather, our energy consumption dropped as our considerable investments in energy and ROI projects over the last few years continued to reduce our utility costs. Looking to the fourth quarter, we expect that comparable hotel RevPAR will be driven by both occupancy and rate growth. But rate growth should be increasingly more important in the fourth quarter as we're approaching full year 2007 peak levels of occupancy. The additional rate growth should lead to solid rooms flow-through even with growth in wage and benefit cost. While somewhat difficult to predict, we are anticipating lower growth in F&B revenue and profitability in the fourth quarter of this year due to an unfavorable comparison with 2011 where F&B revenue grew 6.8%, as well as the anticipated impact of a challenging holiday and election calendar. We expect unallocated cost to increase in line with inflation, particularly for sales and marketing, where higher revenues will increase cost. We also expect utilities to decline in the quarter, albeit at a much lower level of decline than we experienced in the third quarter. We have had tremendous success relative to our expectations for this year in reducing our property taxes. We expected a property tax increase of roughly 9% for 2012. At this point, we expect a full year increase in the 6% area, as we have been successful in reducing several current year assessments and challenging prior year assessments. Comparable hotel margins in the third quarter benefited from a $3 million reduction in prior year property tax assessments. However, we do expect an increase in property taxes in the fourth quarter. As a result, we expect full year comparable hotel adjusted operating profit margins to increase 135 basis points at the low end of the RevPAR range and increase 150 basis points at the high end of the range. In the quarter, we continue to take advantage of the favorable debt markets by extending debt maturities and reducing our overall cost of debt. We closed on a $500 million credit facility term loan that has a 5-year maturity and an all-in floating interest rate of approximately 2% based on our current leverage level. In addition, we issued $450 million of senior notes that mature in 2023 and bear interest at 4.75%, the lowest senior notes coupon in the history of the company. A substantial portion of these proceeds were used to repay debt with an average rate of over 6.6%. Since the beginning of the year, we have reduced our weighted average interest rate by 80 basis points and extended our weighted average debt maturity by one year to 5.4 years. We ended the quarter with $254 million of cash and cash equivalents and $751 million of available capacity under our credit facility. This completes our prepared remarks. We are now interested in answering any questions you may have.
Operator: [Operator Instructions] We'll take our first question from David Loeb with Baird.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: Ed, I wonder if you could just expand a little bit on the calendar issues. I actually have a couple of questions on this. But first, kind of simply, can you give us calendar third quarter RevPAR results for your portfolio and September results for your portfolio?
W. Edward Walter: David, we don't have September yet. We haven't really gotten much of the reporting in on a number of the monthly hotels at this point in time. I think our sense of what calendar would be for us for the third quarter would be just short of 6%. So still a pretty good quarter relative to the industry, but I think you're right in identifying it's not quite as strong as our headline number.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: Okay. And any sense for the last few weeks of September or the first week of October? Is that about where you thought relative to expectations? Or was it weaker or stronger?
W. Edward Walter: No, I think, we had recognized a while ago that the timing of the Jewish holidays both sort of affecting group travel during the week and I think the prior year, one of the holidays, I believe, was on the weekend and the other was near the -- better positioned within the week. We knew it was going to be a difficult comparison year-over-year. So there was -- there really hasn't been any surprise out of that. It obviously does not look great when you get a few weeks. But to be honest, as we tried to highlight in our comments relative to the -- in our outlook, I think the fourth quarter -- we feel very good about the fourth quarter in general. So especially these last 3 months of the year, our bookings are very strong. Our transient bookings are very strong. So we don't see what happened in September as a sign of weakness for the fourth quarter. We think it was simply one of those year-over-year problems that happens in our business. We -- I think everyone should recognize that it probably will be a bit of a choppy fourth quarter because between the other items that we mentioned, Halloween, the election, early Hanukkah, all of those things are going to cause the results, I think, to be more abnormal than normal. And so we're going to see some great weeks and we're going to see some not so great weeks. But overall, as we assess it, and we obviously, we improved our guidance based on both the third quarter strength, but also the sense that the fourth quarter overall would continue to be strong.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: That's very helpful. On the group piece of that, given your comments about fewer group weeks, fewer weeks basically that are easy for groups to book meetings, do you think there will be less meetings overall? Do you think it will broaden the geography of where those meetings are held, as in a broader set of hotels or more markets? Or do you think that it'll just be more meetings in the weeks that can have meetings?
W. Edward Walter: I would suspect that at the corporate level, it will be the latter. Is that their corporate activity will be more condensed, and that may mean that other hotels benefit than might normally not have. The overall, as we look at the quarter, we are still expecting group to be, certainly, up meaningfully in the fourth quarter. We do not expect group to be as strong in Q4 as it was in Q3 but that we had a pretty remarkable Q3 in group.
David Loeb - Robert W. Baird & Co. Incorporated, Research Division: So I guess that means that overall, ADR in those weeks should be very, very good.
W. Edward Walter: That's what you would hope.
Operator: We'll take our next question from Eli Hackel with Goldman Sachs.
Eli Hackel - Goldman Sachs Group Inc., Research Division: Two questions or 2 topics. First is just on acquisitions. Just, I know this is a small amount, but I think acquisition cost guidance went down by $1 million from last quarter to this quarter for the full year. Was there anything behind that? And as you look to 2013, would you expect to be, given current market conditions, a net buyer or net seller? And then just more specifically, New York. I just want to focus in here on the supply picture, it seems that there's going to be a lot coming online, has come online, and even on the next couple of years, more will come online. What's your broader outlook for New York and how do you currently assess your current exposure to the market?
W. Edward Walter: Okay. On the $1 million change in acquisition cost, Larry, do you have a comment on that?
Larry K. Harvey: Yes. The actual acquisition cost on the Grand Hyatt was lower than we expected. So that was part of the forecast. So that's the reason for that.
W. Edward Walter: So that's a good reason for that to have dropped. As we look at 2013, I would say that while we are certainly happy with the disposition pricing that we seem to be attracting on the asset that we're looking at selling, I also think that we -- still fairly comfortable, but this is going to be an extended cycle. And so, I would expect that we would continue to be active in 2013. Whether it's we're net acquirer or a net seller probably depends more on how attractive are the actual acquisition opportunities that develop over the course of 2013. But I think, by and large, our intent is to continue to be active in the year. And if I were -- if I try to plan it out perfectly, I'd probably say we'd probably be about neutral in 2013. In New York, the supply challenges in New York continue. Our sense is that they are going to slowly but surely abate. When we look at our New York results, I mean, some of the softness that we experienced this year was relative to supply, but a lot of it is relative to levels of construction that just hit practically every hotel we have in the market. I think literally every hotel had some sort of construction going on this summer. So we still feel pretty good about New York. We certainly like the presence, the hotels that we've acquired in that market. We feel good about how they are positioned. We are certainly looking forward to seeing what our operating results will be next year with full rooms renovation at the Westin -- the W Union Square. The Helmsley will be open for business with no construction. The W in Lexington has also had some construction this year, that it won't be replicated next year. We're feeling pretty good about how New York should play out next year for us.
Operator: We'll take our next question from Joe Greff with JPMorgan.
Joseph Greff - JP Morgan Chase & Co, Research Division: 2012 was a big year, a sizable year in terms of capital investments, and this might be kind of more of an arts and science. But when you look back to the first 3 quarters of this year and what you're anticipating for the fourth quarter, what do you sort of quantify as the impact to EBITDA from renovation disruption? And then as you think about next year and in terms of capital investments, I guess just directionally as we're all trying to figure out forecasts for next year, do you anticipate whatever that renovation disruption was in '12, do you expect that to be more or less the same, a little bit less in '13?
W. Edward Walter: Joe, I don't know that we're in a position to give you a precise answer on what the impact is from capital from one year to the next. I mean, it's so much is dependent upon the particular hotel that certainly, we know that there has been impact this year. We have had a very full capital program in 2012. And so whether it's in New York or whether it affects some other markets across the country -- San Francisco had a fair amount of work done there, too -- it's really hard for us to give you any kind of a legitimate number there. I would say that as we are in the process now of discussing our capital budgets for next year with our operators, and I think we're fairly comfortable that our capital spending in 2013 will decline compared to the levels that we had in 2012, and it should be by a fairly significant amount.
Operator: We'll take our next question from Felicia Hendrix with Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: Ed, I don't know if you intentionally left it out, I missed it, you're not going to mention it. But I will ask, with the timeshare JV, how much will you guys be contributing to that?
W. Edward Walter: I'd love to give you that answer, but we are -- we literally concluded with Hyatt that we were going to wait until we had really finished all the documentation and a couple of other issues before we were going to provide more detail. So we'd obviously love to talk about it a little bit more. It's a project that we've worked on for a long time. It's a tremendous use of some available land at that property. But I think we're just going to need to wait a few more weeks before we give any more specific details.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. So we'll anxiously await that. And then on -- you guys went through the different regions, very nice detail as usual. Just wondering if we could touch upon Canada for a moment. That was up very nicely. Just wondering how much of that was FX and what was the local currency RevPAR change there?
W. Edward Walter: I think what I would tell you is it was -- a lot of the increase there was at this particular quarter, the benefit from currency. We did have -- there was -- it was a positive RevPAR growth on a year-over-year basis, but certainly, some of the lift that we saw there came from currency, too.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay. And then so -- okay. And then, this might be a little bit backwards looking and you might have touched upon this in one of your prior answers, but when we were having -- on the last call, you had said that you had anticipated that RevPAR growth in the third quarter, RevPAR trends in the third quarter would be similar to that of the second quarter. Clearly, there was a nice uptick. Just wondering, did you see something stronger out of group in the quarter or during the quarter, since July, than you would have anticipated. I'm just trying to figure out what changed.
W. Edward Walter: Yes, I would say it was 2 things. I think what was a -- the first was that, as the booking cycles lengthened a little bit, at least in comparison to prior years, maybe not in comparison to historical times back in the earlier part of the last decade. But I'd say our -- the rooms that we had booked in the -- for the third quarter held up very well, meaning that at the end of the day, our group demand for the third quarter didn't -- and we booked almost as many rooms in the quarter as we had the prior year. And so, at the end of the day, we hadn't really expected that our final group revenue growth would be nearly 10% in the third quarter. I think that was really the big positive surprise from our perspective. And so it was the combination of continuing to book rooms in the quarter, for the quarter, and then, as we discussed, that gave us -- it gave the properties the opportunity to be fairly aggressive on rate. So what you ended up seeing in a variety of different ways is we had better retail business and our overall rate growth in all segments was relatively strong. But ultimately, I think it all -- for us, it all started with the group.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay, that's helpful. And then just one last housekeeping. You just -- you raised your CapEx guidance by about $25 million since the last quarter. Is that just finalizing budgets, or is there something new in there?
W. Edward Walter: Yes, I think there's a couple of things going on there. Some of that is we have found -- we have accelerated, in some cases, some CapEx into 2012 that we might have thought was going to carry -- end up occurring in 2013. And I think that happened both on the maintenance side and a little bit on some of the properties where we were doing acquisition CapEx. So I wouldn't call it -- I don't think there was any new projects that were approved. It was really just a function of whether things were going to happen before year end or after year end.
Operator: We'll take our next question from Ryan Meliker with LM -- I'm sorry, MLV & Company.
Ryan Meliker - McNicoll, Lewis & Vlak LLC, Research Division: Just a couple of quick things. First of all, maybe I missed this as Larry was going through some of the things that impacted margins in the quarter. But you guys had fantastic margins this quarter. You're up 170 bps year-to-date, you said. But your guidance actually implies 4Q margin growth materially slowing to I guess, roughly 60 to 100 bps. Can you give us some color as to what's going on as to why margins would be slowing? Was that some of the strength in margins got pulled through into the third quarter out of the fourth quarter? Or is there something else going on?
W. Edward Walter: It's a little bit of that. I think one of the -- so probably, the best example of that is what Larry was describing on the real estate tax front. At the end of the day, our year-to-date taxes have grown at less than inflation. But we're still expecting, by the end of the year, to be up close to 6% in terms of taxes. So part of what's happening is the bulk of that increase in taxes is occurring in the fourth quarter. We have a little bit of the same sort of thing happening with insurance, too. And so it -- what I would say overall is that the combination of a couple of things like these items that are ending up being heavy in the fourth quarter, which we've always anticipated, is just that -- I think it shows up a bit more now because of the strength that we had during the summer in terms of margins, are causing the problem. The other element of it is that as you look at food and beverage and you look at other revenue, probably not quite as optimistic there as we were earlier in the year. And so a little bit lower revenue growth there is also weighing slightly on margins in that relative context. I think coming back to the -- probably the most fundamental point though is when we look at where we started in the year, which was well -- the mid-point in our guidance was well below 100 basis points in margin improvement, and looking at where we are now, where we're in the 135 to 150 range of improvement, we couldn't be happier with the progress that we've been able to make on improving our flow-through over the course of 2012.
Ryan Meliker - McNicoll, Lewis & Vlak LLC, Research Division: Last 3 quarters, you guys have gradually, actually had guidance up across the board, RevPAR margins, EBITDA, recurring FFO, et cetera, which is obviously nice to see. But I'm wondering, if you could take a step back and tell us, was it that you were more conservative at the start of the year and that's one of the reasons why your guidance was a little more cautious, then obviously, what you've seen throughout the course of the year. Or is it that over the course of the year, trends have really perked up that much more than you were expecting?
W. Edward Walter: Are you asking me whether we sandbagged at the beginning of the year? Or...
Ryan Meliker - McNicoll, Lewis & Vlak LLC, Research Division: Oh, I would never say that.
W. Edward Walter: No, the reality is that we did. I think we try to approach all of these numbers with what we hope is a balanced level of conservatism. But I think at the end of the day, we've been pleasantly -- if you look at the top line, the top line has actually grown more than we had expected at the beginning of the year too. We started the year thinking 4% to 6%, and now we're talking -- so call it a mid-point of 5%. And now we're looking at a mid-point in our RevPAR that's in the upper 6s. So I think it's -- that's a huge contributor to the improvement and just because a lot of that's happened in rate, which flows through very well. Larry commented on a couple of areas where we've been happy in terms of what's transpired. We saved money in real estate taxes that we hadn't counted on. I've been very happy with the efforts that we've made on the asset management side in working with our operators to, especially over the course of these last 2 or 3 quarters, our unallocated costs or support costs -- G&A, sales and marketing, repair and maintenance -- all of those numbers have stayed fairly low over these last 3 quarters, and I think that's contributed to margins. And then the last factor that is so hard to predict but certainly has been a huge benefit this year, is the reduction in utility costs. We've seen reductions in rates. It's remarkable to me that as hot as this summer was, at least from the perspective we had here in Washington, it's remarkable to think with fully occupied hotels, our energy consumption actually declined. And it's good to see that the investments we've made in energy efficiency are paying off in terms of less consumption, which is part of the reason why our utility costs are down as much as they are.
Operator: We'll take our next question from Jeff Donnelly with Wells Fargo.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: Ed, just a question on dispositions and capital recycling. With the CMBS market so strong, have you changed your thinking about dispositions activity? I heard there's a chance you guys might have more coming to market. And maybe you could rank for us how you see uses of capital. Is Europe the most interesting opportunity today for you guys? Or is it something closer to home like continued investment in renovations or deals here in the U.S.?
W. Edward Walter: Yes, let's start with the first question about sales. I think, first, I think you're right that the CMBS market does seem to be strengthening, and we hope that, that proves to be a continuing trend because we would expect that, that would be a source of financing, not the only one, but a key source of financing for folks who are buying properties from us. I think we made it clear that we intend to be a fairly active seller over the course of the next few years. I think a lot of that has to do with just our approach in trying to overall -- improve the overall quality of our portfolio. One way you do that is by buying the sorts of assets we've bought, but the other is by selling assets in markets that ultimately don't fit our -- the strategy for the company going forward. So we're pleased to see the developments on the financing side and tend to be active through the, certainly active through the end of this year. And I am sure our targets for next year in terms of sales will be even more aggressive than what we have discussed today for 2012. Jeff, I forgot the last part of your last segment of your question. What was that again?
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: No, I was just asking how you would rank where you would actually put capital to work. If it's -- is Europe the most interesting opportunity to you today? Or is it something closer to home, like renovations or even your stock or just acquisitions here in the U.S.?
W. Edward Walter: I think, right now, it's really going to be driven by what looks to provide the best opportunity. So certainly, we still expect that the bulk of our investment is going to happen in the States. As you can tell from the purchase of the Nuremberg hotel, we're still looking in Europe and our partners are still very interested in trying to buy there. We're not seeing a lot of competition there. And we appear to be one of the few firms that are active there that can access financing, so we do have some competitive advantages there. But we're also at the same point in time trying to be somewhat cautious in the way we approach Europe for all the reasons that I'm sure are obvious. So I think we continue to be interested in looking at investments in Brazil. And we are pursuing some investments in Asia, too. But I'd still come back to the main point that as I think about '13, if it could work out the way I'd like it to, I would expect that the bulk of the sales proceeds we generate would go towards investments in the U.S.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: And just 2 quick questions. On group trends, I think earlier in the year, you guys were talking about situation where groups were showing up and sort of upscaling their event, if you will, in the days prior to the event. Are you still seeing that trend or are companies maybe getting a bit more frugal?
W. Edward Walter: I think we're still seeing it, although it's -- I don't know that we saw it as much during the summer. But I think some of that relates to the type of business that you tend to get in the summer in group anyway, which tends to be a little bit lower priced. So we'll get a better read on that in terms of what happens in the fourth quarter. One trend that we have had described to us that's consistent with what you just described is that the groups continue to not necessarily commit to a lot of food and beverage unless they're forced to. But we're still hearing of instances where they are showing up and a week or 2 out starting to raise their F&B spend. So I think it will be interesting to see exactly where food and beverage spend comes out in the fourth quarter. It is notoriously difficult to predict, despite the fact that we do try to do that every quarter. And certainly, the fourth quarter this year, just because of some of the holiday issues and other things, it's probably a little bit more complex than normal.
Jeffrey J. Donnelly - Wells Fargo Securities, LLC, Research Division: And just a last question. I know you didn't provide 2013 guidance. But do you have a reaction to Marriott's guidance for next year? Do you -- I guess, my question is, do you share their confidence, given negotiated rate in group trends, or do your hotels lead you to maybe have a different, maybe more conservative outlook?
W. Edward Walter: I want to be careful about doing it backdoor. But I think it should have been clear from the comments that I made at the end of my prepared remarks is that we're not putting a specific number on it. We feel really good about next year. It's just hard to -- you look at our starting point, where we're expecting that we're going to have more occupied rooms at the end of this year than we did in '07, we'll still be short of where we were in 2000 -- in 1999 and 2000. So we'd still see room to grow on the occupancy side. We don't think we've peaked there. But given the starting point of that high level of occupancy, combined with the level of group activity that we're expecting based on our advanced bookings, we see some occupancy increase and we see a lot of rate increase next year. So all in all, we're not seeing any signs that make us less bullish on 2013. We feel good about it at this point, and we obviously will look forward to giving a lot more insight into that in our February call as we get into 2013.
Operator: We'll take our next question from Wes Golladay with RBC Capital Markets.
Wes Golladay - RBC Capital Markets, LLC, Research Division: Looking at your balance sheet, will you look to retire the balance of the Series Q notes that are 6 3/4%, and potentially, the Series 9 that are -- you can do the make hold [ph] with in 2013?
Larry K. Harvey: Those are the 2 bond deals that we are focused on, but we don't have a short-term plan to do that right now, Wes. It's something -- we've refinanced a lot of debt. Ed talked a little bit about asset sales and other things, but at the end of the day, we expect to generate a fair amount of free cash flow and other things. So we'll evaluate as appropriate with the market where the credit markets are. But we had a great year on the refinancing side and dropping our weighted average interest rate, getting that weighted average debt maturity over 5. So it's something we evaluate on an opportunistic basis. And those are 2 with a little bit of a bullet on them, so.
Wes Golladay - RBC Capital Markets, LLC, Research Division: Okay. Yes, you've definitely been busy. Looking at the Vornado deal, do you expect any renovation impact, or I guess, redevelopment impact next year while you're doing the redevelopment, to the operator?
W. Edward Walter: I always hesitate to say -- to answer that and say, "No, we don't expect any." Because inevitably, we're surprised at some point in time with some effect. But the reality is, is we think that the activity that they're going to have is separate enough from what's going on at the hotel that we would expect it to be fairly minimal.
Operator: We'll take our next question from Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: Your RevPAR guidance at the mid-point moved up, but the hotel top line mid-point went down. Is the disconnect there just the food and beverage comp in Q4 being tough? Is that why the total hotel top line mid-point is going down while RevPAR is going up?
W. Edward Walter: Yes, that's the reason for that.
Robin M. Farley - UBS Investment Bank, Research Division: And then just sort on your group business, when you look out, do you have concerns about kind of crowding out high-rate transient business when your group rates, I think you said were up 3.5% and your forward bookings are now up, I think you said, in the quarter, were up 9% for the forward year. Do you worry about at what point you are committing to more rooms that have lower rates than what maybe the overall RevPAR increase would be?
W. Edward Walter: No, that's a great question and a great thought. But we're -- if you kind of look at where we stand right now, we are still -- we're actually doing more transient business today on an occupancy basis than we were in '07. We're still doing less group business than we were in '07. So I think as we think about what's likely to drive the most overall profitability in our hotel, more group is -- would be a benefit to us. Not only is -- it's not just a rate game, because remember that we do get better food and beverage spend -- more profitable food and beverage spend out of groups. So increasing our group -- our overall percentage of our business's group will be helpful from that standpoint. But also, on the transient side, what will happen as we continue to add group into the hotel is, what we'll be displacing is not the highly rated corporate transient, we'll be displacing the more lowly rated discount transient. And so the net effect is that we should benefit, not only from higher absolute rates, but also from some mix shift because of that.
Operator: We'll take our next question from Smedes Rose with KBW.
Smedes Rose - Keefe, Bruyette, & Woods, Inc., Research Division: I just wanted to ask you a little more about Europe because it sounds like your hotels and your JV there are holding up fairly well in light of what's happening there. But so on the transaction side, could you comment on the, maybe the valuation around the hotel you acquired in Germany? And just kind of in general, maybe what you're seeing in terms of the amount of property that's on the market and kind of where cap rates are heading. Are valuations kind of steady? Just sort of a general -- your thoughts there.
W. Edward Walter: Yes, it's interesting, Smedes. It's a good question. And as, first of all, as it relates to Nuremberg. We were -- this was a very unique opportunity. It developed very quickly. And we had an opportunity to buy the hotel because we had previously bought hotels from this group and we had been able to close relatively expeditiously. So I think they had a high level of confidence in our ability to purchase the hotel and purchase it quickly. We bought it all cash. We intend to finance it. And while, as I mentioned, it's not easy necessarily to get financing in Europe, the nice thing is that because it's a smaller German-based asset, there is a fairly liquid market in Germany that will provide the sort of 50% loan-to-value financing that we like to put on our assets in the JV. So we're expecting to be able to finance that at rates that would actually sound attractive in the U.S., so somewhere probably south of 4%. The pricing here was -- we also thought was fairly attractive. We bought this for about a 10 EBITDA multiple. Cap rate was 8.5 or so. So I think all the measures about this deal, for an asset that we're buying significantly below replacement cost in a great location within the city, all sort of came together pretty well. Not every deal that we're looking at in Europe, of course, has these kinds of metrics. But I think we feel relatively good about the pricing that we're looking at in Europe on the transactions we're evaluating. And wherever, we are certainly looking at things with a conservative eye for this year and next and really sort of thinking more in terms of returning to stabilized levels of growth much further out. I would tell you that the market is not extremely active, in part because most of the folks that are selling are doing it because they have a real reason to do it, either their fund is expiring or they have debt coming due. So I would say there's not a lot of normal sellers in the market. It's more a case of motivated sellers.
Operator: We'll take our next question from Will Marks with JMP.
William C. Marks - JMP Securities LLC, Research Division: Yes. I just had a couple of other group questions. You've covered it pretty well. What percent of your rooms are typically booked before the beginning of the year?
W. Edward Walter: Well, if you, I guess, here's how I'd look at this. As we started -- as we start off a year, we would expect that probably about 70% or so of our group rooms would be on the books at that point in time.
William C. Marks - JMP Securities LLC, Research Division: And remind me what group represents as a total -- as a percentage of the total.
W. Edward Walter: I think we've been running in the 37% to 38% range the last couple of years. I think we're probably going to be pushing back up towards 39% or 40% this year. Interesting to see where it ultimately comes out.
William C. Marks - JMP Securities LLC, Research Division: Okay. And it sounds like there's not a whole lot of change in the last few months in terms of the group outlook for the future or. Is that the case? And are there any changes in kind of mix on which types of groups are booking?
W. Edward Walter: I think one of the things that we were pleased to see develop over the course of the summer was the significant increase in our corporate group. That has -- that was the -- that segment of our business that dropped the most in the downturn and has generally been recovering the best during the course of the last 3 years. So that continues to be the area where we've seen the biggest improvement. Our association business has been, I'd say, a bit more inconsistent. Some quarters have been really strong, and other quarters, it has not been as strong. The corporate group is the area that tends to make the decision probably in the shortest term, and that's been the area that's been growing the most.
William C. Marks - JMP Securities LLC, Research Division: Okay, great. And are you -- would you say there's been any change in the group outlook over the last few months based on the economy or anything else?
W. Edward Walter: I think the only changes that -- I think everybody should read our comments. We continue to see group get better and better. I mean, if I look at the way this year's played out, I -- we are certainly, pleasantly surprised by how strong group has been this year, far better than what we saw last year. When we look at 2013, each quarter, as we look at the booking pace for the -- for 2013, our -- the percentage that revenues booked is ahead of the prior year has continued to increase as we worked our way through the quarter. So we have been -- in the beginning of the year, we were in the low-single digits. So at this point now, we're up over 8% in terms of our -- the revenues that are on the books for next year. So that's been strong. I suspect we'll see the same sort of progress in 2014. So overall, we've been very happy with what we've seen on the group side. And from our perspective, it continues to strengthen.
Operator: And due to time constraints, at this time, we will take our last question. That question comes from Joshua Attie with Citi.
Joshua Attie - Citigroup Inc, Research Division: How much did Tampa add to the RevPAR growth of the company in the third quarter?
W. Edward Walter: Larry, that sounds like your kind of question.
Larry K. Harvey: Yes, I didn't do the math, Josh. It wasn't significant. I mean, it's one hotel. It's a very small part of a portfolio of 104 comp hotels. I can have someone run it and send it off to you.
Joshua Attie - Citigroup Inc, Research Division: Okay. And what do you think the likely outcome is for your European debt investment, which I think matures this month?
W. Edward Walter: Well, that's a great question. That is still in play right now. I think -- the way I -- probably, the only right way to answer that at this point is to say we continue to feel very comfortable about the value of our investment relative to the value of the underlying portfolio. Certainly, the folks that own that portfolio have been actively looking to sell it. And I think it will be interesting to see what plays out over the course of the next 60 to 120 days.
Joshua Attie - Citigroup Inc, Research Division: Are those assets that you would feel comfortable owning in the JV?
W. Edward Walter: Yes, they are, Josh. We think it's a -- we actually think it's a very good portfolio. You've got one of the best group hotels in Paris included in there. You've got a very good corporate transient hotel in the middle of the La Défense part of Paris, which is really their version of an edge city outside of Paris where a lot of their major corporations are based. There's a wonderful Renaissance in downtown Paris. As I mention that, now there's smiles around the table because everybody that's seen that hotel likes it. And then the other larger hotel that's part of that portfolio is a Renaissance in Amsterdam, which has just been completely renovated in the last couple of years. It's in a great spot in Central Amsterdam. So this is a portfolio that we had under contract in the past. And we ended up not buying it for a variety of reasons back in '08. But we liked it then and it's a portfolio that, if it worked out that way, we'd be happy to own it today.
Joshua Attie - Citigroup Inc, Research Division: Can you give us a sense for what kind of evaluation you're in at? Maybe what your last dollar debt is per room?
W. Edward Walter: I don't think we've disclosed that, Josh, and so I'm not going to do that here. Sorry.
Joshua Attie - Citigroup Inc, Research Division: Okay. And for the Vornado transaction, can you give us a sense for how the retail space is being valued? Maybe what sort of cap rate or EBITDA multiple is being used to price the sale auction?
W. Edward Walter: I think that, too, is -- we've agreed to certain levels of confidentiality, at least initially with Vornado. So it's a somewhat complex mechanism for how the valuation would be calculated at the time that either they would call the interest or we would put it to them. But so I can't get into more detail. I wish I could. But I think part of what we were trying to convey with the comments at -- my prepared comments is that we are very excited about both that transaction and moving forward with the timeshare in Hawaii. That is valued that, for all intents and purposes, I don't think it's being at all recognized in the value of our company right now. But it's meaningful. And it's pretty exciting to think that the work that we've put into this over the last 18 months on each of these projects -- $0.5 billion is a lot of money or a lot of -- or $400 million to $500 million is a lot of money to add to the value of a company.
Operator: That does conclude our question-and-answer session today. I would like to turn the conference back over to Mr. Walter for any additional or closing remarks.
W. Edward Walter: Well, thank you all for joining us on the call today. We appreciate the opportunity to discuss what we thought were very good third quarter results with you. We look forward to talking with you in February to discuss both our year-end results and give you much more detailed insights into 2013. Have a great day.
Operator: And that does conclude today's conference. Again, thank you for your participation today.